Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to Box Third Quarter Fiscal 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to Stephanie Wakefield, Vice President of Investor Relations. You may begin your conference
Stephanie Wakefield: Good afternoon and welcome to Box’s third quarter fiscal 2017 earnings conference call. On the call today, we have Aaron Levie, our CEO; and Dylan Smith, our CFO. Following our prepared remarks, we will take questions. Today’s call is being webcast and also be available for replay on our Investor Relations website at www.box.com/investors. Our webcast will be audio only, however supplemental slides are now available for download from our website. We’ll also post the highlights of today’s call on Twitter at the handle @BoxIncIR. On this call, we will be making forward-looking statements, including our Q4 and FY 2017 fiscal guidance and our expectations regarding our financial results, market adoption of our solutions, our market size, our operating leverage, our expectations regarding achieving positive free cash flow and future profitability, our planned investments and growth strategies, and expected benefits from our new products and partnerships. These statements reflect our best judgments based on factors currently known to us and actual events or results may differ materially. Please refer to the press release and the risk factors in documents we filed with the SEC, including our most recent quarterly report on Form 10-Q Quarterly Report for information on risks and uncertainties that may cause actual results to differ materially. These forward-looking statements are made as of today, November 30th, 2016 and we disclaim any obligation to update or revise these statements should they change or seize to be up-to-date. In addition, during today’s call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, but not as a substitute for or in isolation from our GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results in our earnings press release and in the related PowerPoint presentation, which can be found on the Investor Relations website. Unless otherwise indicated, all references to financial measures are on a non-GAAP basis. With that, let me hand it over to Aaron.
Aaron Levie: Thanks, Stephanie, and thanks everyone for joining the call. In Q3, we continued our streak of exceeding our guidance for the eighth quarter in a row with better than expected financial performance across the Board. Solid sales execution, strong momentum in new product adoption, and significant contribution from our strategic partners drove our results. We are more confident than ever in our ability to drive rapid growth and further operating leverage. Q3 marked our first $100 million quarter with record revenue of $102.8 million, an increase of 31% year-over-year. We grew our paying customer base to over 69,000 businesses including new or expanded deployments with Canon, Hertz, Konica Minolta Japan, Southwest Airlines, and the U.S. Department of Treasury. We also achieved non-GAAP EPS of negative $0.14, well ahead of our guidance as we drove operational efficiencies across the business. Cash flow from operations improved again to negative $6.8 million versus negative $17.3 million a year ago. These results demonstrate the natural leverage on our business model and progress towards achieving positive free cash flow in this current fiscal quarter. BoxWorks, our customer conference that we hosted in September, highlighted the growing interest for enterprises to modernize their IT and business processes and Box's key role in driving that transformation. In our most successful event to-date, we were thrilled to have executives from Microsoft, IBM, Google, and Amazon sharing our stage, demonstrating Box's strategic position as the agnostic platform for managing corporate content. The need for Box is clear. Today, business content is spread across separate legacy systems, on-premises storage; disparate collaboration and workflow tools, and sync and share solutions. Every year enterprises spend tens of billions of dollars on content management technology that are no longer innovating, simplifying their competitive environment. Box is where all work can come together allowing enterprises to securely manage and collaborate on their information and increase productivity across their business. To go after this massive market opportunity, we've been executing against our three strategic objectives: deliver new products to further differentiate Box, drive platform adoption, and expand through strategic partnerships. We made solid progress against all three objectives in Q3. Let's start with our new products. Launched in April, Box Zones enables customers to store their Box data locally in regions outside the U.S. To-date, Box Zones has been announced in several regions across Europe, Asia, and North America with more regions to come. Additionally, Box is one of only a handful of cloud companies in the world to have received Binding Corporate Rules, or BCR Certification from the EU authorities, which requires detailed review by three separate EU countries. With this certification, our multinational customers know they can deploy to a validated cloud environment in accordance with the highest data protection standards available today. Combined both BCR Certification and Box Zones, continues to differentiate Box from competitors and remove potential barriers for the large international customers moving to the cloud. Box Governance, which allows enterprises to meet retention and compliance requirements in the cloud, continues to show strong momentum as well. We now have more than 500 Governance customers and 40% of Q3 Governance deals came from new customers. In Q3, we had the largest Governance deal to-date, a meaningful $500,000 plus deal with a multinational pharmaceutical company. In October, we also added security classification functionality to Box Governance. Box customers will now be able to automatically identify sensitive content in Box and enforce security policies based on a predetermined confidentiality level. The value of Box Governance is proven in the 30% average price per seat uplift we see when we sell Box Governance deals. Lastly, at BoxWorks, we announced Box Relay, our first product co-developed with IBM. Box Relay will make it incredibly simple for employees and businesses to build, track, and automate their workflows with all the security and collaboration benefits of Box. We're already seeing strong interest for Relay by organizations looking to automate workflows such as HR or customer onboarding processes and closing deals and contracts for example. These new products are major differentiators for Box and allow us to continue to increase the value of accounts and further penetrate new markets and industries. On our second strategic objective, we continue to make significant progress with Box Platform in Q3. With Box Platform customers, partners, and third-party developers can build custom applications on Box through our APIs and developer services. Coming off the heels of BoxWorks interest in Box Platform has never been stronger. We grew our developer community now to more than 89,000 developers. One example is a leading global manufacturer and a new Box customer that selected Box Platform to power an iPad application for thousands of their contractors in the field. The application allows technicians to capture photos as well as browse product information and specifications saving significant dollars over a legacy application. Additionally, a leading financial services provider further expanded their commitment by $500,000 a year and they will be using Box Platform to power client interactions on their websites, replacing a legacy vendor. These are only a few examples proving that Box Platform is becoming a mission-critical investment for our customers. Box Platform and our new products are significant growth drivers for us. This past quarter, roughly half of the deals over $100,000 included one of these new products. Finally, our third strategic objective is driving innovation and distribution through our world-class partner Ecosystem. At BoxWorks, we announced a strategic partnership with Google to bring together Box's secure content management capabilities with Google's productivity applications. The upcoming integration with Google Docs will allow customers to work seamlessly between Box and Google Docs, Google Sheet and Slides with Box acting as the centralized constant management solution. Customers will be able to choose to use Google Docs for its real-time concurrent editing capabilities, while leveraging Box's security administration and advanced content management functionality. Another strategic partner, IBM, contributed significantly to our results this quarter, including eight six-figure deals and enabling their reseller network to go-to-market with Box. And as we mentioned, we announced Box Relay. Lastly, IBM was a key partner, helping us win our first significant international platform deal. In Japan, Aon, one of the largest retailers in Asia chose Box to improve security and collaboration across the company. Lastly, we're excited to collaborate with Facebook on their first ever enterprise product Facebook Workplace. In the coming months, we'll be working to build several integrations that will enable seamless productivity and communication around content in Box helping power the future of work. To be the modern content platform for the enterprise, we have to integrate into every major applications our customers use to get work done. Our partnerships with leaders like IBM, Google, Microsoft, and Facebook further solidify our role as the number one content platform for enterprises. In summary, Q3 was another strong quarter based on great execution and our clear differentiation in the market. We remain committed to sustaining a high growth trajectory while increasing our operational efficiency to become free cash flow positive in the current quarter. Today, we deliver the world's only truly modern content platform, strengthening our leadership position in a market with more than $40 billion. Now, I'll hand it over to Dylan to review the financial results in more detail. Dylan?
Dylan Smith: Thanks Aaron. Good afternoon everyone, and thank you for joining us today. As Stephanie noted, GAAP to non-GAAP reconciliations are in the presentation that is available on our IR website. The financial measures I will be discussing on this call are non-GAAP unless otherwise noted. We achieved another successful quarter of strong topline growth and significant bottom-line improvement continuing our track record of financial outperformance. The increasing traction of our newer products validates strong customer demand for an end-to-end solution to power the future of work. We achieved record revenue of $102.8 million in Q3, our first quarter with more than $100 million in revenue. This result was above our guidance and up 31% year-over-year, driven by strong sales execution, momentum with our newer products, and our best-in-class retention rate. Third quarter billings came in at $112.4 million, representing 26% calculated billings growth and 30% adjusted billings growth year-over-year. We continue to expect calculated billings growth to trend below revenue growth in Q4 due to the shift in customer payment durations that we have discussed in previous quarters. Also given the particularly strong billings quarter a year ago, this Q4 will be a tough compare. As we move into next year and these payment durations are forecasted to normal normalize, we expect billings growth and revenue growth to track roughly in line for the full year of fiscal of 2018. We continue to win large enterprise deals including 38 deals over $100,000 versus 26 a year ago and seven deals over $500,000 versus three year ago. Our newer products are becoming an important growth driver for us. In both large deal categories, roughly half of the deals included at least one newer products. Additionally eight of our six-figure deals were attributable to IBM. Deferred revenue was $192.6 million, up a solid 36% year-over-year and providing us with strong revenue visibility going forward. Turning to margins, non-GAAP gross margin improved significantly to 76.1% versus 73.4% a year ago and 74% last quarter. Over the past year, we've made several optimizations to our infrastructure that drove the substantial majority of this improvement with an additional benefit from a change in the use-for-life of certain data center assets. As we mentioned previously, we have also been preparing to move into a new data center in anticipation of customer demand. However, the launch of this new site shifted from Q3 to Q4, resulting in lower than expected infrastructure expenses in the quarter. Looking forward to Q4, with the launch of our new data center, we expect gross margin to be more normalized at roughly 74%, an improvement from our prior Q4 expectation of 73%. In Q3, we had another successful quarter of driving greater operational efficiency while we continue to significantly grow our topline. Sales and marketing expenses during the quarter were $60.1 million, representing 58% of revenue, a notable improvement from 75% in the prior year. As a reminder, our Annual Customer Conference BoxWorks takes place in our third quarter and this year accounted for roughly $6 million of our Q3 spent. Excluding BoxWorks, sales and marketing expenses would have been 52% of revenue. The ongoing cost to support our free user base, which is a sales and marketing expense, continue to decrease to 6% of revenue in the third quarter, an improvement from 11% in the same quarter a year ago. Next, research and development expenses were $21.9 million, or 21% of revenue better than 25% a year ago. We drove this improvement even as we made significant enhancements to our products, including expanding Box Zones into new regions, 3D images, annotations, classification, and more. Our general and administrative costs were $13.5 million, or 13% of revenue, an improvement from 21% in the prior year quarter as we benefited from process improvements and reduce legal expenses. Over time, we expect to continue to drive leverage in G&A from greater operational excellence and scale. We're extremely pleased that our improvements in operational efficiency drove our Q3 non-GAAP operating margin to significant 31 percentage point improvement year-over-year coming in at negative 17% versus negative 48% a year ago. This focus on leverage drove non-GAAP EPS to negative $0.14, a substantial improvement of $0.17 from a year ago and well ahead of the high end of our guidance. One of the key elements that makes our business model so powerful is our customer retention. Our best-in-class churn rate continues to be roughly 3% on an annualized basis. As our product become an increasingly critical part of our customer's business processes overtime, feature such as our platform APIs, data retention, and workflow should continue to drive overall customer stickiness. Our net expansion rate was 18%, primarily driven by strong seat growth in existing customers. As we benefit from cross-sells with our newer products, we're seeing this offset the natural pressure on this metric from our maturing customer base. As a result, we ended the quarter with a retention rate of 115%, in line with last quarter. This metric remain best-in-class and demonstrates the compounding effect of our land and expand business model. Let me now move on to our balance sheet and cash flow. We ended the quarter with $195 million in cash, equivalents, and restricted cash of which roughly $27 million was restricted. Our cash flow from operations was the highlight at negative $6.8 million, an improvement of more than $10 million from negative $17.3 million in Q3 of last year. This result brings us even closer to achieving positive free cash flow in the January 2017 quarter. In Q3, total CapEx was $1.9 million compared to $20 million a year ago, which included roughly $16 million in headquarters cost. As we mentioned earlier, having now completed our headquarters move, we would expect data center related CapEx to be roughly 3% of revenue for the foreseeable future. Lastly, free cash flow in the third quarter was another highlight at negative $10.9 million. This represents a significant improvement from negative $37.8 million in the third quarter of last year. With that, let's now turn our guidance. For the fourth quarter of fiscal 2017, we're setting revenue guidance in the range of $108 million to $109 million. We expect our non-GAAP EPS to be in the range of negative $0.13 to negative $0.14 and for our GAAP EPS to be in the range of negative $0.32 to negative $0.33 on approximately 130 million shares. For the full year of fiscal 2017, we are raising our full year revenue guidance and expect revenue to be in the range of $397 million to $398 million, which represents 31% growth at the midpoint of this range. We expect our non-GAAP EPS to be in the range of negative $0.59 to negative $0.60 and for our GAAP EPS to be in the range of negative $1.23 to negative $1.24 on approximately 127 million shares. In summary, our third quarter yielded tremendous success across all financial metrics as we continue to widen our competitive differentiation through product innovation and key partnerships. We are well-positioned to maintain our rapid growth rate and to deliver on our commitment to achieve positive free cash flow in this current quarter. With that I would like to open it up for questions. Operator?
Operator: [Operator Instructions] Your first question is from Ben McFadden from Pacific Crest Securities.
Ben McFadden: Hey guys, thanks for taking my question. I wanted to start just kind of with the IBM relationship. You had eight six-figure deals you mentioned in the quarter, but are you seeing an inflection from that partnership do you believe either from the amount of customers you're receiving from the IBM relationship or the size the deals you are getting from the IBM relationship? I'm just curious as far as any commentary of sort whether that is inflecting or picking up potentially even more so than what you've seen last quarter or two?
Aaron Levie: Yes, this is Aaron. What we have seen and kind of what we talked about and gave a little bit color on last call was the latter half of last year and the first half of this year was really a building period for the partnership, so it was really about aligning our salesforces, making sure the field was well-trained on the partnership that was strategizing on what we were going to be building from a product standpoint together. And the second half of this year is really where we had expected to see the kind of productivity of the partnership really show. So, I think we have seen an inflection point in terms of the -- what we are doing together, the kind of customer wins that we're seeing especially in markets where Box doesn’t necessarily have a lot of penetration because we're still may be growing and so things like international markets, some highly regulated industries. We saw two big wins out of Japan in the past quarter that were really great examples of the partnership working at a large scale within the Japan ecosystem. So, I think we can expect to continue to see these kinds of results and we'll obviously keep updating everyone on the total growth that we're seeing from the partnership, but we've been very happy so far.
Ben McFadden: Great. And then a question for you Dylan, billing, I believe was up on an absolute basis about $23 million year-over-year, but sales and marketing was only up $1 million, so help us try to understand kind of what's driving that improvement on the profitability side? And how that might be split between improved productivity on the sales rep side, the benefit that you could be getting from the channel?
Dylan Smith: Sure. So, there's are a few things that are contributing to that is as the sales and marketing efficiency has been a huge focus for us. First of all, we'll just highlight the natural business model leverage that we're seeing. As we continue to expand our existing customers and as our renewal base grows that does drive some of the natural leverage in the model because those tend to be much more efficient types of sales. We also are seeing rep productivity improvements. We mentioned that last year, we saw roughly 10% improvement year-on-year and we're continuing to make progress this year, especially as our salesforce becomes more tenured and they have more and more of these newer products to sell that are becoming increasingly impactful in the market. And then another kind of big push that has driven some of this improvement is the move to more and more of our customers to our online sales channels. So, we're signing up thousands of new customers to that channel every quarter and that has our most efficient customer acquisition costs. So, those are a lot of the changes that we've been making on the go-to-market side and some of the leverage that we're seeing. And then on top of that, we're also seeing -- we've seen a pretty significant reduction in the cost to support our free user base because of lot of the optimizations we’ve been making in the cost-to-serve. So, that drove 5% of the improvement year-on-year in sales and marketing going from 11% to 6%.
Ben McFadden: Awesome. Thanks a lot.
Operator: The next question is from Melissa Gorham from Morgan Stanley.
Melissa Gorham: Great. Thanks for taking my question. Aaron I was just wondering if you can maybe give us a little bit more detail on how Box Zones maybe accelerating your traction in international market. And I'm just wondering if you are making additional investments from a salesforce perspective to help accelerate that trend or if you are leveraging some of your partnerships?
Aaron Levie: Yes, so Zones is incredibly important due to one of the biggest barriers for international companies being able to adopt the cloud being data residency and while we have seen -- while we have seen good traction internationally over the past few years in general, a lot of it hasn’t been in regulated industries, or in some cases, only a limited set of content from some of our customers. So, Zones allows us really can unlock more of that growth and that opportunity. We're only about one quarter into the product being fully available in just a couple of the regions. We just went live in the past few weeks in Australia as one of our newest regions, we'll be going live soon in Canada and then we'll continue to expand out more and more regions over time. This certainly leads us into some of the investment that we're thinking about next year from international standpoint. So, growing even further throughout Europe from a sales and marketing standpoint, but we expect the performance of those teams to be very strong because we've been able to renew one of the key privacy and data compliance barriers that we were dealing with previously.
Melissa Gorham: Okay, that's helpful. And then a quick one for Dylan. Dylan can you maybe provide a little bit more detail on the gross margin impacts this quarter, you talked about a change in the useful life, can you maybe quantify what that impact was? And then in terms of moving forward beyond the next quarter, 74% gross margin, is that sort of what we should consider sort of the run rate?
Dylan Smith: Sure. So, there's a handful of moving parts in gross margin, but overall, we saw about three quarters of the year-on-year -- of the total improvement that we saw in gross margin coming from underlying efficiency improvements and then the remaining roughly a quarter of that year-on-year improvement was driven by that -- the change in the useful life of those data center assets. And as kind of moving forward as we grow into the expanded data center footprint that we expect to light up next quarter -- in the current quarter, Q4, and continue to achieve efficiencies and economies of scale, we would expect our non-GAAP gross margin to stabilize at the 74% level and for that to hold through - true through next year and then to trend slightly upward over time toward our long-term target model.
Operator: And the next question is from Richard Davis from Canaccord.
Richard Davis: Hey, thanks very much. So, you guys have added -- you've talked about it a little bit on the call, a handful of like editing and visualization tools to your platform. If we kind of fast-forward two years, what kind of new features would a customer kind of expect to see on the Box Platform?
Aaron Levie: Yes, and just to clarify, you mean Box Platform specifically to our developer platform or Box -- kind of product broadly?
Richard Davis: I'm sorry, yes, the product itself, you have your 3D visualization and those kind of things. Thanks.
Aaron Levie: Yes. So, I think what you probably saw out of BoxWorks is a massive push toward becoming the modern content platform for enterprises. When we look at the state of the landscape today and you think about the legacy enterprise content management systems that are out there, companies like -- or products like Documentum, OpenText and others, even SharePoint, and you look at traditional storage infrastructure and storage architectures, most of these systems are not able to deliver modern user experiences, modern collaborations, and workflows, modern mobile content access, and so we're really building out a platform that can enable customers to fully replace those legacy ECM and storage capabilities that today are -- they are spending billions and billions of dollars either maintaining or buying new -- buying maintenance on. And so the kind of capabilities that you'll continue to see on our platform are things around advancing our governance solutions, advancing our enterprise content management capabilities, advancing our workflow options. What you sort of mentioned is around data visualization or analytics of being able to provide capabilities for our customers to see what's going on with their content, allow them to have instant access to all of the information of how people are sharing and collaborating, getting work done. And ultimately building out a very modern architecture for how businesses manage their information. We now have some customers that have 600 million objects stored in the Platform in one customer environment. So, we really have been battle-tested to some of the largest enterprises in the most regulated industries in the world and now we want to go to -- continue to advance that roadmap, continue to differentiate further and really become that modern content platform for every enterprise.
Richard Davis: Great. That's helpful. Thank you.
Operator: The next question is from Mark Murphy from JPMorgan.
Albert Chi: Hey, guys, it's actually Albert on for Mark Murphy. Great job on the quarter, but another one on IBM, I don't know how incremental it was, but I thought I heard you say that IBM's opening reseller network to Box, so is that incremental and can you talk about the potential there? And I don't know if you talk about the economics of selling Box Relay since you jointly developed it with IBM, so any color on that would be great.
Aaron Levie: Yes, so it is incremental in the sense that it does added and further distribution channel from that partnership. So, that sort of IBM's extended reseller network that now Box can be sold through. In terms of Box Relay, that will be coming out next year and it will be a product that we can co-sell. So, both of our organizations are able to sell that and we'll be doing some revenue sharing on that -- on that product and we'll share a little bit more of the details when that product is generally available next year.
Albert Chi: Got it. And just a quick follow-up on hiring. I know you talk already about some salesforce optimizations with the directing self-service channels, which I guess kind of for some of the moderation this past year in hiring, but are you able to give us any directional thoughts on where you think FY 2018 looks like? Thanks.
Aaron Levie: Yes. So, what -- we'll give more color certainly as we move into next year and get in the details. We have said in the past is we would expect to grow our salesforce in the sort of mid to high teens compared to 13% last year. We added about 70 employees over the past quarter and we're seeing a very healthy pipeline and lost demand in interest in the market. That said, we are also driving a lot of leverage in a lot of the functions across the business, so we would expect to continue not just in sales, but across the rest of the organization to be able to grow revenue faster than both hiring and overall expenses. So, we'll give a little bit more color as we move in the next year, but that's sort of some of the same trends that you've been seeing could expect a more or less holds over the next several quarters.
Albert Chi: Got it. Thank you very much.
Operator: The next question is from Kash Rangan from Bank of America Merrill Lynch.
Kash Rangan: Hey guy, thanks for taking my question. Congrats on the superb business results. Two questions one is with respect to Google and Facebook, can you talk about the nature of these partnerships because I would assume that IBM having tentacles into the enterprise is very aligned with your distribution model and strategy of selling it to the enterprise, but Google, Facebook more on consumer side, wondering how that plays with your focus? And also secondly, are you seeing a pattern at all where -- but I do the rough math of an estimated number of subs divided by a number of customers, I get about hundred or so, are you starting to see any pattern of improvement where the average engagement with the new customer is trying to pull away from what seems to be the computed average, so we can entertain at some point in time of the future that you get a lot deeper enterprise adoption and not quite the breadth of enterprise adoption? Thank you.
Aaron Levie: Yes, I'll take the first question, Kash, this is Aaron on the integration partnership front. I think our partnerships take on a couple different varieties, some are for distribution and differentiation and that's what you've seen with IBM. So, very significant go-to-market effort there with very significant sales -- salesforce that we're not tied into as well as further differentiation due to the development of Box Relay. On the other side, there are the applications that our customers are using where they expect a very natural native integration into from Box and that's where our partnerships with Facebook and Google come into play. So, both of those partnerships are on the business focus side of their offerings, so the Google suite, for instance, which is quite popular in the small and medium business market and moving up market over time and then with Facebook, it's their new Workplace product that is intended to be aimed at enterprises. So, in both of those cases, our core mission is to be the singular repository for how businesses manage, secure, and govern all of their documents and all of their content and we can only accomplish that mission if we're then integrated into all the different apps that enterprises are using. So, whether that's Slack, or Facebook, or Google, or DocuSign, we need to make sure that we are embedded into all those applications. So, different sort of ultimate business goals with those partnerships, but nevertheless all incredibly important to our overall strategy of building the key platform in the enterprise.
Dylan Smith: And then on the overall sort of average number of subscribers per deal, in our business that average number of subscribers as well as the average contract value isn’t a particularly meaningful metric just because we sell the companies of all sizes from three users up to hundreds of thousands of users and because of the really strong growth that we're seeing in the online sales that segment which is biased toward the smaller end of the market whilst a very efficient growth channel and we're really pleased with the efforts, it does bring those -- the average metrics down in those categories. So, rather I point to some of the large deal metrics that we break out where in the past quarter, we grew the number of $500,000 plus deals by -- we more than doubled that from three to seven and then saw a really healthy growth in six-figure deals overall as well from 26 to 38. So, we're absolutely seeing a much larger deployments, particularly in the enterprise and that's really been enabled not just the land and expand business model, but particularly now that we can open up additional use cases with some of our newer products. So, we're definitely seeing some trends change in the scale of a lot of our larger deployments, really pushing the bounds of what we've done in the past, but that won't necessarily show in an average number of subscriber or average deals documentary.
Kash Rangan: Got it. So, after the land -- and this is final question and as you get into the expand phase, what are the implications for operating leverage, particularly sales and marketing as you go into the expand mode? That's it from me, thank you.
Dylan Smith: Sure. So, we did talk about is for that particular type of sale when we expand an existing customer, we spend less than a $1 in total fully burdened sales and marketing for every new dollar of recurring revenue. So, the payback period on that is less than 12 months. And point to sort of the long-term -- rather the target model that a $1 billion which we would expect our sales and marketing as a percentage of revenue to be just under 40% at that stage.
Kash Rangan: Great. Thank you.
Operator: The next question is from Brian White from Drexel.
Brian White: Yes, I'm wondering if you could talk about calendar 2017 in terms of a couple of new products that you're really excited about that will have a financial impact and maybe a couple products that you think will have a big strategic impact. You've announced a lot of new products, there's a lot going on here, a lot of excitement, but if you could just narrow it down to a couple that have a financial impact and a couple may be a strategic impact? Thanks.
Aaron Levie: Yes, great. So, I think we're continuing to see pretty incredible traction on our Box Governance offering. We are -- we've been really impressed with the uptake really through all segments. So, we have some customers in life sciences that allow -- that can now use Box as much more of a secure control environments for governing their content as well as small businesses where in the past, they never had an information governance solution and so this is really the first product of its kind that they're using now to create a real system of record for their enterprise. The Box Governance with over 500 deals now is -- we see as having a material impact on the business going in the next year. Box Zones will obviously be very helpful for us with our international customers that does also contribute to a price per seat uplift for international customers. So, I think those are probably maybe two that will have the very meaningful impact on revenue next year. And then in terms of strategic impact, Box Relay will -- allows us to increase the number of use cases that Box can solve for. So, being able to use Box to automate workflows around your content whether that's nature or on boarding process, the sales contract review process, a legal review process, all of these are our situations where customers have previously had to take their content out of Box or use a separate system to manage that workflow and now, they are going to be able to do that directly within the Box sort of suite more broadly. So, we think that will have a strategic impact next year and then revenue impact thereafter just because it will be only released next year. So, those are of the existing product set I think where you'll see a lot of demand. And then we'll continue to be launching new products going into next year and we'll be excited to see how those perform in the future.
Brian White: And just quickly on the Facebook partnership, I just want to be clear this has not been announced before, we're announcing it tonight for the first time and when does it begin?
Aaron Levie: Yes, so, actually we did mentioned this when Facebook Workplace was released on -- in the past I think 30 days or so, but -- so we were -- we did talk about that when Facebook Workplace was initially brought to the public. The integrations will be going live next year and we'll have more formal information and formal announcement on that going in the next year.
Brian White: Great. Thank you.
Aaron Levie: Yes.
Operator: The next question is from Aaron Rakers from Stifel.
Joseph Quatrochi: Okay, great. This is Joe Quatrochi on for Aaron. A couple questions if I could. The first I just want to circle back on the gross margin, particularly on the guide, what are the -- can you talk the puts and takes of the guidance relative to the opening of the new data center and then the change in the depreciative life for the servers?
Aaron Levie: Sure. So, that is one of the bigger sort of headwinds as it relates to gross margin. It is not just moving into, but then building out the data center footprint. There's going to be some infrastructure investments as we continue to broaden and expand our product portfolio to make sure that we're supporting all of our customers and giving strong performance internationally after our global edge network. So, that will be an investment area for us. But at the same time, we expect continue making several optimizations to our infrastructure. So, one example is the way that we've been able to reduce the overall cost of storage and then just the overall improved use of our public cloud footprint moving more and more services to the public cloud over time. And then a lot of things we're doing that relates to the use-for-life change, but we are getting longer life out of the many of our data center assets due to better server utilization. So, those are some of the major factors that we see at play and which is why on balance we feel very confident in being able to maintain roughly 74% gross margin clip through next year.
Joseph Quatrochi: So, I guess just follow-on to that, you mean the sequential loss of leverage I guess is all attributed to the new data center being built or opened?
Aaron Levie: That's right. So, not only the beginning to pay a lot of expense associated with running that new space, but also beginning to depreciate the servers that will be going live when you put that new facility online.
Joseph Quatrochi: Okay, great. And then just a quick follow-up. I was wondering if you could talk about some of the leverage that you're seeing from other partners outside of IBM. I know you signed a contract with Fujitsu I think earlier this year, just wondering if -- any color there.
Aaron Levie: Yes, so we do have a growing partner ecosystem, partners like AT&T, for instance, have been a very productive partners in driving the growth of Box. A lot of customers that will be using AT&T for their mobility will then be able to attach Box licenses on top of those contracts. We have a partnership with Cognizant that does further development on top of the Box Platform. Fujitsu as you mentioned was something that we did announce in Japan and we'll be going live next year in a much more productive way. And Japan broadly we have many partnerships with some of the leading system integrators and networks out there. So, our growing channel ecosystem and partner distribution model is something that is becoming more and more important and core to our strategy and we'll be sharing a bit more about how that's playing out next year as we grow that ecosystem.
Joseph Quatrochi: Thanks.
Operator: The next question is from Greg McDowell from JMP Securities.
Greg McDowell: Great. Thank you very much. Just one question for you Dylan and it's going to be somewhat of a multipart question on your favorite topic forward billings. I guess I just want to be really sensitive to how we model Q4 -- no or I'm clear that the billings growth rate is going to be below the revenue growth rate, but I just sort of want to understand the puts and takes on the scale because as you pointed out, it's an incredibly difficult billings comp on an as reported basis given that you grew billings 59% in the year ago quarter in Q4. On adjusted basis I think -- or I should say normalized basis, it was -- it's a 45% comp, but in Q4 last year, you added incredible $45 million of deferred revenue and I was just wondering maybe you could remind us what happened last year besides it's being a good Q4 in terms of sales execution. But if there were some abnormal stuff last year that we should think about as we model our Q4 billings this year? And just may be any discussion on sort of puts and takes of what's going on this year in terms of strength of the big deal pipeline and such? Sorry for the long-winded question.
Dylan Smith: No, I got. So, our pipeline for larger deals is certainly healthy as we move into Q4 and we're seeing strong momentum in the business, particularly with some or newer products as we mentioned. But your point, it is going to be a pretty tough comp for a few reasons. There is just very strong sales execution that we had last Q4 that you highlighted. But in addition to that there were a couple of other factors that add some increased kind of pressure and tough comparison there. The first of which is the high watermark that we had for multiyear prepay. So, as we've discussed we did have far more multiyear prepay last year and we moved away from that this year, but last year in Q4 was when we saw that the highest volume of those. So, about 10% of our billings last year in Q4 were prepaid multiyear and we'd expect that to be in pretty small low single-digit this year, virtually non-existent as we've seen throughout the course of the year. So, that's a pretty big headwind there given the shift in multiyear prepays. And then the other factor is just that as we mentioned on our last call, we also had $4 million of billings that would have normally renewed in Q4, but because of an upsell -- because the customer was expanding and wanted to grow their employment with us mid-year and mid contract, we ended up pulling forward about $4 million of billings into Q2 from Q4. So, that adds some additional pressure overall. So, from an optic standpoint, there's certainly some factors at play that are going to make the calculated billings growth rate pretty challenging. But again from an overall business momentum standpoint and all the signs that we're seeing as you can sort of see from some of the large deal metrics and just the overall growth metrics that we give out, we're really excited about and confident in the Q4 that we ever had.
Greg McDowell: That's helpful. Thank you.
Operator: [Operator Instructions] The next question is from Terry Tillman from Raymond James.
Brian Peterson: Hi, this is Brian Peterson for Terry. Thanks for taking the question. So, Dylan, a quick one for you. So, if we think about your long-term growth profile, is there any way you could segregate that between seat expansion and then price per seat expansion? Just curious how that should look over the longer term?
Dylan Smith: Yes. So, it’s a little bit harder to say especially as -- while we're seeing some really strong attraction in -- with our newer products. Most of those have not been in the market for very long and we still are you -- really in the early stages of expanding our product portfolio as well as our platform offering. So, today, we do still see the substantial majority of our growth coming from the core service even though in a lot of cases that is driven by some of the newer products that we've available where the introduction of those products has opened up newer used cases, larger opportunities, opened new markets and areas that allow us to sell more of the core seats. So, overtime we'd expect that to be an increasingly impactful part of how we grow the business and already seeing it show up in the numbers as one of the big reasons that our net retention rate has stabilized at 115%. And then over time as it become more material, we'll give additional color and how those are evolving. But for now, it’s a little early to tell exactly how that's going to breakdown between additional seats and then the uplift that we see from some of our newer products.
Brian Peterson: Got it. Understood. And may be one quick clarification. The decline in supporting for user base, that's actually gone down in dollars, I think for five, six, seven quarters consecutively, is that something that we should continue to see on an absolute dollar basis or is there a certain level where we can't really get it below this certain point? Thanks guys.
Dylan Smith: Sure. So, we would expect in the coming quarters for that trend to continue given a lot of things that we continue to do to optimize the expenses associated with our free user base and the facts we are still -- it is a pretty important part of our model overall to get -- to allow not just our enterprise customers be able to share and collaborate with anyone, but also give people the opportunity to use the product before they buy. So, we expect the offering to stay and to continue growing that, but we'd note that the overall growth rate in free users has been significantly slower than our growth rate in paying users and that combined with the efficiencies that we're driving on the infrastructure side leaves us to be pretty confident that we will continue to see those trends play out at least for the next several quarters.
Brian Peterson: Great. Thanks Dylan.
Operator: There are no further questions. I will turn the call back over to the presenters.
Stephanie Wakefield: Great. Thank you everyone for joining us today. We look forward to speaking to you next quarter.
Operator: This concludes today's conference call. You may now disconnect.